Operator: Good morning, and welcome to the Vistra's Second Quarter 2023 Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded.  I would now like to turn the conference over to Meagan Horn, Vice President of Investor Relations. Please go ahead.
Meagan Horn : Good morning and thank you all for joining Vistra's investor webcast discussing our second quarter 2023 results. Today's discussion is being broadcast live from the Investor Relations section of our website at www.vistracorp.com. There you can also find copies of today's investor presentations and earnings release.  Leading the call today, are Jim Burke, Vistra's President and Chief Executive Officer and Kris Moldovan, Vistra's Executive Vice President and Chief Financial Officer. They are joined by other Vistra senior executives to address questions during the second part of today's call as necessary.  Our earnings release presentation and other matters discussed on our call today include references to certain non-GAAP financial measures. Reconciliations to the most directly comparable GAAP measures are provided in the press release and in the appendix to the investor presentation all available in the Investor Relations section of Vistra's website.  Also today's discussion contains forward-looking statements, which are based on assumptions we believe to be reasonable only as of today's date. Such forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those projected or implied. We assume no obligation to update our forward-looking statements. I encourage all listeners to review the Safe Harbor statements included on Slide 2 of the investor presentation on our website that explains the risks of forward-looking statements, the limitations of certain industry and market data included in the presentation and the use of non-GAAP financial measures.  Thank you. I'll now turn the call over to our President and CEO, Jim Burke.
Jim Burke : Thank you, Megan. Good morning. And thank you all for joining our second quarter 2023 earnings call. The second quarter proved to be another strong one for the business as we delivered $1,008 million in ongoing operations adjusted EBITDA. Typically, we do not formally adjust our guidance ranges until after we get through the critical summer months, but based on performance to-date and our forecast for the remainder of the year, we are confident in our ability to deliver in the upper half of the guidance ranges introduced on the third quarter earnings call last year.  Accordingly, we are narrowing that original range which was $3.4 billion to $4 billion to a new range of $3.6 billion to $4 billion for ongoing operations adjusted EBITDA.  Looking beyond 2023, the market curves continued to support a strong consistent outlook as well. Our commercial team is working to strategically lock in these opportunities, employing comprehensive hedging strategies to provide better line of sight to our earnings over our planning horizon, which in turn allows us to plan for capital return to our shareholders that is consistent and predictable.  In addition, I'm proud of the great strides we're making in the expansion of Vistra zero-carbon generation portfolio with our 350-megawatt addition to the Moss Landing Energy Storage facility that came online this quarter.  I'll speak to that milestone momentarily, but first, I'd like to turn to Slide 5 where we once again highlight our four strategic priorities. I think it's important to continue to reiterate our focus on these priorities each quarter with some notable accomplishments, as I believe these are critical to long-term value creation. This quarter saw continued strong generation and commercial team execution combined with our retail business that continues to deliver strong counts and margin performance. This year is proving it can consistently deliver substantial and resilient earnings in a variety of power price and weather conditions.  Just as last quarter on average, we saw power prices this quarter clear lower than our realized hedge prices. This is highlighting the significant downside risk protection to our earnings that our comprehensive hedging strategy across the integrated business can and does consistently provide. These de-risks consistent earnings give Vista the confidence to announce aggressive shareholder return programs, and then stick with those programs and amounts equal to or higher than those originally announced.  I'll let Chris provide the detailed update on our capital allocation plan, but of the aggregate upsized $7.75 billion capital return plan we originally announced in November of 2021, we've already returned $3.35 billion through August 4, 2023, which is approximately $250 million ahead of the originally announced plan levels.  We regularly evaluate how best to bring value to our shareholders and we expect to continue buying back stock and paying dividends that grow each quarter, based on a reduced share count.  Our balance sheet strength remains a top of this as well. You saw this quarter that we structured a $450 million P-Cap transaction which is unique and allowing us to post-treasury securities as margin deposits, returning more cash to the balance sheet. We expect to utilize that cash plus the margin deposits that have been returned as expected, as our hedges have settled throughout this year to fund a significant portion of the purchase price we expect to pay in the fourth quarter for Energy Harbor, substantially reducing the amount of acquisition debt to be issued.  Finally, as it relates to our opportunities with the energy transition, in addition to the progress we are making on the Energy Harbor acquisition, which I'll speak to in a minute, I would like to turn to Slide 6 regarding our Moss Landing Facility. The Vistra team did an excellent job in bringing online an additional 350 megawatts to add to the existing 400 megawatts at our Moss Landing site in California, which is the largest energy storage facility of its kind in the world. This addition came online ahead of schedule and on budget despite a challenging supply chain environment and extreme rainfall. This is now a total of 750 megawatts of energy storage backed by contracted revenues through our PG&E Resource Adequacy Agreements.  Importantly, we continue to see additional opportunities to add batteries to this site in the future. The facility is located in the [Indiscernible] energy market, which is experiencing significantly higher gas price volatility, as well as the potential for scarcity pricing due to high demand and import competition from the neighbouringh balancing authorities.  These factors result in favorable conditions for the earnings outlook for a Moss Landing battery facility and our co-located combined cycle plant which has 1,020-megawatts of capacity. This is a tremendous site and a great example of our ability to invest in a discipline way in Vistra zero while also providing for the reliable and affordable energy customers need.  Moving to Slide 7, the $1,008 billion of ongoing operations adjusted EBITDA achieved this quarter was a result of strong performance by each of our generation retail and commercial teams with retail achieving attractive counts and margin performance and all customer categories and our generation team delivering commercial availability of approximately 95%. Our people working hard in this extended high yield environment, and they continue to perform extremely well.  When we originally announced 2023 guidance in the third quarter of last year, we estimated a range of $3.4 billion to $4 billion in adjusted EBITDA from ongoing operations. As mentioned earlier, we are confident in our ability to deliver in the upper half of that range, leading us to formally update our guidance to reflect the new range of $3.6 billion to $4 billion in adjusted EBITDA from ongoing operations and a new range for adjusted free cash flow before growth. Of course, there was a lot of execution still to go in the balance of the year, and our people remain focused on delivering for our customers and our shareholders.  Turning to Slide 8, I just wanted to reiterate that all three key agencies continue to work on the necessary approvals to close the Energy Harbor acquisition. We are working constructively with each agency and an all involved parties and as I mentioned before, we continue to anticipate a fourth quarter closing.  We believe Energy Harbor is a terrific transaction for district adding a substantial amount of nuclear generation with the support of the production tax credit. We continue to expect significant contributions from Energy Harbor, including the opportunities for synergies. I think back to the announcement of the Dynegy acquisition when we projected annual ongoing operations adjusted EBITDA of approximately $2.8 billion. Through the hard work of the Vistra and Dynegy teams and including the acquisition and successful integration of Crius and Ambit, together with the expected closing of Energy Harbor later this year, it is exciting that we could see ongoing adjusted EBITDA on average in the '24 to '25 timeframe of $4.5 billion, including synergies and out year prospects potentially even higher.  Kris, I'll now turn the call over to you to discuss our quarterly performance in more detail.
Kris Moldovan: Thank you, Jim. Starting on Slide 10, Vistra delivered $1,008 million in ongoing operations adjusted EBITDA in the second quarter, including $510 million from generation and $498 million from retail. Generation's results were favorable compared to the second quarter of 2022, primarily due to higher energy margin achieved through our comprehensive hedging strategy. And as we did last quarter, our ability to capture value by backing down generation in times when prices are below unit costs.  Retails results were also favorable as compared to the second quarter of 2022. While the segment was impacted by less favorable weather, this was more than offset by continued strong counts and margin performance. As I discussed last quarter or the entire year shaping that damping the first quarter's earnings contribution to the overall year was offset as expected in the second quarter.  Turning to Slide 11, as Jim mentioned, we have been consistently delivering on our capital allocation plan. As of August 4, we have executed approximately $2.9 billion of share repurchases since beginning the program in the fourth quarter of 2021. We expect to utilize the remaining approximately $1.35 billion of the total $4.25 billion authorization by year-end 2024. Notably, our outstanding share count has been reduced to approximately 367.5 million shares as of August 4, an impressive approximately 24% reduction in the number of shares that were outstanding in November 2021. This meaningful and consistent share reduction has led to robust dividend growth.  For example, the recently approved third quarter 2023 common stock dividend of $0.206 per share represents an increase of approximately 12% per share, as compared to the dividend paid in the third quarter of 2022.  Finally, as Jim mentioned, we remain focused on maintaining a strong balance sheet and a disciplined approach to growth. We have fully allocated the net proceeds from the December 2021 Green-preferred stock issuance and are now turning to securing non-recourse project or portfolio level financing to, among other things support the growth CapEx needs of the company. We anticipate launching the first such financing in the coming months.  To wrap up on Slide 12, we have provided an update on the out year forward price curves as of August 4. As you can see the forward continue to hold together well. Specifically, since our last call we've seen forward curves increase in ERCOT in '24 and '25, increasing our confidence in our ability to achieve the previously disclosed $3.7 billion to $3.8 billion ongoing operations adjusted EBITDA midpoint opportunities in those years.  As a reminder, we are significantly hedged in years 2023 through 2025 approximately 86% on average of expected generation across all markets, with a balance of 2023 expected generation hedged at approximately 98% and 2024 expected generation hedged at approximately 95%.  Finally, Crius and Ambit [ph] continue to provide opportunities to lock in significant earnings, especially during times of scarcity. Our commercial team continues to work to de-risk these opportunities by executing on our multiyear comprehensive hedging strategy, which strategy continues to be supported by our standby liquidity facilities.  We are proud of the performance of our generation retail and commercial teams as far this year and are excited to continue our work towards executing against our remaining 2023 goals and long-term strategic priorities, as we translate that success and to shareholder returns. We look forward to updating you on our progress on our third quarter call.  With that operator, we're ready to open the line for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Shahriar Pourreza with Guggenheim Partners. Please go ahead.
Shar Pourreza: Hey, guys. Good morning.
Jim Burke : Hey, good morning, Shar.
Shar Pourreza: Good morning. So first up, I guess you're now obviously the third IPP to report stronger retail margins. Could you just unpack a little more what you saw this quarter, kind of within the strength as we're thinking about optimization versus actual margin expansion, and the degree to which I guess you guys see this as being durable? Thanks.
Jim Burke: Sure. Shar, I'm going to start. I'm actually going to have Scott Hudson to give a little bit of perspective on the market dynamics as well. You realized last year when we were in a climbing power environment, due to the conflict that we saw with Russia-Ukraine, and then the commodity curves moving up. So retailers in general, were climbing the hill in 2022. We started to see that obviously come off at the beginning of this year. And the team does a very nice job of looking at the multiyear nature of the contracts for large commercial, the 12-month to 24-month range for residential. And their objective, of course, is to have normalized margins. We tend to buy forward as a company, we try to normalize the experience for customers, because our experience has been, if you move the customers price too much, it's not the expectation that they had when they signed up with you.  So even on renewals, we're careful about how we manage this. So from a durability standpoint, the retail business has earned strong margins in follow years and in stable years. And I think as part of the brand power of the business, is that we're not selling an index type product that's just floating with a spot price, we're actually taking some of that predictability, risk by hedging forward and giving that benefit to the customer. So I feel very good about the durability.  And I would -- Scott, I'd let you to add about the market dynamics. 
Scott Hudson : Sure. Shar thanks for the question. I would just add to what Jim said is that we've got multi-brands at play in the ERCOT markets, and each of those brands are designed to attract a different customer segment.  But in general in ERCOT, on the residential side transactions remain at historical levels. So there were a lot of moves and switches and opportunities to win customers in the market. This really reflects the health of the Texas market migrations to consumers to it. As Jim said, prices have come down materially compared to this time last year, and the number of offers in the market has increased as have the number of competitors, in these markets. So very robust.  But I think where, we're successful in both accounts in the margin side is the differentiation of our products and services across those brands. So our summer campaign, this summer features three distinct products, seasonal discount product to first to market time of use product and then also an electric vehicle product, which really is doing well on the gains and helping us mitigate losses as well.
Jim Burke: And I would add Shar that the annual view for retail that outlook has improved from when we originally set our guidance for 2023. As Kris noted, the Q1 to Q2 effect is more about the shaping of the cost of goods sold because retail will buy power, according to the shape by month for the year. So the winter costs are much higher than the spring, the summer costs are much higher than the fall and into December. So we see that retail profitability much higher in our results in 2Q and 4Q, and we see less from retail in 1Q and 3Q. So I was giving you the annual view as to how I think about the durability, but there is a quarter to quarter difference because of how we buy power for retail reflecting the shape of power costs. So I hope that helps.
Shar Pourreza: No, it does. And that's helpful. Thank you for that. And then just lastly, I don't want to push too far but such great color on '24 and '25. Can you just speak to how the EBITDA opportunity to look for '26 or at least the degree to which you've been able to hedge that far. And just maybe refresh us on the Energy Harbor EBITDA opportunity that far out? Are you still seeing things north of $900 million? Thank you, guys.
Jim Burke : Yeah. You bet. So Shar, we have obviously continued our progress of hedging. As we said, we would, we consistently look for opportunities to provide a predictable earnings stream. And so first of all on '24-'25, we feel good about where we are from a outlook standpoint for Vistra stand alone. And that's really the data that we are operating with here Shar. We don't have a view into updates regarding Energy Harbor, and how they look at the moment for '24-'25 because we're going through the regulatory process. And so the data, we have this more the data we had at the time of the announcement.  But our view is because we're obviously in the market, and we view the curves, is that we're set up well, for Vistra standalone for '24-'25. We still feel good about raising that range that we mentioned where it was originally 3.5 to 3.7 and now we're looking at 3.7-3.8. So I feel good about where we sit in terms of Vistra standalone.  Energy Harbor, we know that had some out of the money hedges at the time that we announced '24-'25. And so our view there was that on a combined basis, we were 4.35 or so on a combined basis recognizing they had some hedges that were out of the money. We believe that there's an opportunity for our business, because of our update that we gave, because we were at 3.6, when we gave you the update for Vistra standalone. If we're at 3.75 now for Vistra standalone, again, be in between 3.7-3.8. That puts the combined enterprise in that for 4.45 to 4.5 range. So $4.5 billion on average in that '24-'25 timeframe. '26, we're pretty open still. In fact, I would say, Steve Muscato is here -- when we look at the markets, we look for opportunities. But when we last talked to you, we were seeing curves in AD Hub, for instance, in PJM that were pretty attractive. They were in sort of the $50 range. Those have come off now to about $44 in that 2026 timeframe, very close to the acquisition case that we announced. So I think we're on track for that $900 million. The upside to that for that piece would need some support from the '26 curve because we've seen that move around from $45 up to the low-50s and back to that sort of 44% range.  And we're still pretty open. We assume they're still open. Again, we don't know what hedging they've done for the long term. But I think 900 is still a solid number for 2026 for Energy Harbor.  And in terms of our business, Vistra standalone we've seen PJM come off. We've seen ERCOT come up. And ERCOT has come up, and it's been attractive and Steve, I used and you shared some thoughts about how you have seen these markets unfold even in the last month or two.
Steve Muscato : Sure. We've seen ERCOT because of the heat that we've been experiencing and the periodic bouts of scarcity that have been kind of a routine issue here in the last at least several weeks with the heat in Texas. It has rippled into the forward curves, and so fixed price is holding in there. So we're able to hedge some of our solid fuel free.  And we're also seeing sparks, to your point, Jim, expand as we move out into that period. And so we're opportunistically hedging ERCOT where available, as you can imagine, '26 is somewhat illiquid, but we are having some success open our retail and wholesale channels and increasing those hedge percentages when the opportunities present themselves.
Jim Burke : And of course, with the AD hub and with Energy Harbor, we have some PTC support ultimately, Shar, we don't view it as meaningful because it's kind of -- all the curves are close to at the money right now on that, but that's one of the reasons the deal was attractive as well was the support to the downside if we had it. So -- thank you, Steve, and Scott, for the context on that. Shar, thank you for the questions.
Shar Pourreza: Yeah, terrific, guys. Congrats and very good color. Appreciate it. 
Jim Burke : Thank you. 
Operator: The next question comes from the line of Michael Sullivan with Wolfe Research. Please go ahead.
Michael Sullivan : Hey, good morning, everyone. And thanks for the color on those last couple of questions. Hey, Jim. Wanted to shift over to -- from the debt -- from the EBITDA side more to the debt side pro forma. I think, Jim, you were mentioning you did the PCAP and then you have some margin collateral posting coming back. Can you just give a better sense of like how much new debt you will ultimately have to issue and if that's changed from when you announced the deal and then what on a pro forma consolidated basis, where the debt is going from where you are today?
Jim Burke : Sure. Michael, I would say that the conditions, obviously, in terms of margin deposits and the return of cash has been pretty favorable this year. I'll turn it to Kris to talk about how that influences the way we think about financing Energy Harbor and the overall credit metrics and targets that we're looking at.
Kris Moldovan : Yeah. Thanks, Michael, for the question. I'll put it into two buckets. As we -- when we announced the transaction, we had shown an assumption that we would use $600 million of cash and $2.6 billion of debt. And of course, we knew that there was going to be some more cash coming back from margin deposits or we expect it to come back for margin deposits, but we wanted to be conservative and make sure that we maintain sufficient liquidity. As we have settled those hedges throughout this year, that money has returned as expected. But that number also included plan to do some nonrecourse financing at Vistra Zero, which we still intend to do. So I would say, over the balance of the year, there's really two different things that we're looking at. There's the acquisition financing you can -- that has with the return of the margin deposits and the cash and the PCAPs transaction that has also returned cash. That has brought that $2.6 billion down to again, assuming we go to the next stage on the non-recourse financing, but that's probably brought that number down to $1 billion to $1.5 billion, somewhere in that range.  And then we still have nonrecourse financing in the works that was in our plan that was assumed in those numbers. And I think as we said in the remarks that we still expect to see a transaction in the coming months. And so that will fill in the rest. We still have enough commitment that we're still being conservative with our -- the financing commitment that we have in place. But -- that's really it.  And from a debt perspective, as we said, we're still targeting sub three times. At the closing, I think we continue to believe that we're going to be just above that. And as we look forward through a combination of debt repurchases and increasing EBITDA, we think we can get to that sub three times in the 2020 -- as early as 2024. Potentially leaking into the first part of 2025, but we don't see there being a long wait for us to get to the target levels that we're looking at.
Michael Sullivan : Okay. Thanks. I appreciate all the color there. And then maybe just on ERCOT looking forward here, obviously, been pretty hot down there. What are you seeing in terms of just the grid holding up for the rest of the summer? And then thoughts on potential new build response later this year around the referendum vote.
Jim Burke : Sure. Yeah, Michael, it's been a very active kind of last three weeks. I would say it's a daily area of focus Steve would say it's a minute-by-minute focus. And that's really because the grid, as you know, in Texas, it's been a robust, low growth market. And the additional resources that have been added over the last three to five years have largely been wind and solar. The solar move has been consequential 4,000 to 5,000 megawatts year-over-year. which is helping that evening period, and we're getting to the point where solar is filling in that six to eight-hour range fairly well, and we're all focused on the wins ability to pick up where solar left off at that sort of seven to eight hour and beyond. A couple of good points is that earlier in June, while wind overall was lower in third and second quarter this year in ERCOT than last year, at peak times during this evening hours, wind actually when the grid was at 80,000 megawatts or higher, wind actually performed relatively well in the early part of the summer. We didn't see much price formation. In July, late-July and early-August, we're starting to see that the wind in those periods of time is returning more to kind of normal expectations, and we're starting to see that tightness in those late evening hours. And of course, we're talking about the marginal resource of wind or solar. That assumes nuclear, coal, gas are all operating the way they need to be. And that's we sometimes lose focus on that because that's the majority of the grid. The units are running hard. There's no end in sight for this heat that we're in. And so -- the team is doing a terrific job keeping these units online.  And I would say, overall, the ERCOT grid and the operators have done a nice job keeping the grid supplied, but there's an asymmetric risk to the upside on prices when you look at how tight the grid actually is. And we're starting to see those forwards in '24-'25, I think, start to reflect that there actually is meaningful supply-demand tightening that's occurring in ERCOT. And as far as whether gas newbuild comes it's a three-year process for the most part from the time you get started. And the loan referendum is in November, the PCM, which was part of the House Bill 1500, the Sunset bill, it has a net billion dollar cap that was inserted as part of that legislation. It could be several years to there years before that could be implemented, the PCM. So there are a lot of variables that are moving at the moment that developers would have to get comfortable with in terms of are they seeing enough to build because the curves are still backwardated. Even though we're saying the curves have moved up in '24-'25 and we're working through it, ERCOT still has -- there's still an assumption in this market. It's going to get overbuilt or there's going to be a lot coming that's just going to be potentially supported by PTCs and create downward pressure on pricing.  So I think it remains to be seen what kind of queue there's going to be for gas-fired generation, but there clearly was support in this legislative session to try to keep existing thermal generation and try to incentivize new. Not all stakeholders agreed on what the right solution is to do that, but at least there's recognition that the thermal resources existing and new are important. And that was a good outcome. But there's still a lot of work to do with the P&C and ERCOT in various stakeholder groups to get this over the finish line.
Michael Sullivan : Thanks so much. Appreciate it. 
Jim Burke : Thanks, Michael. 
Operator: The next question comes from the line of Julien Dumoulin-Smith with Bank of America.
Julien Dumoulin-Smith : Hey, good morning. Thank you very much for the time. Appreciate it. Just wanted to follow up a little bit on the conversation on the '24-'25, the 4.5 there. Can you elaborate a little bit on what the retail assumptions are there? I know Shar tried to get at this a little bit, but it seems like you're just collapsing the transaction in there. Ultimately come up with that new number in the mid-4s. How do you think about these other retail pieces there? And ultimately, just also what were you alluding to on '26? I know you said it was quite open. Just what does that transposed into '26 if you can start to go there just quickly in terms of the puts and takes?
Jim Burke : Sure. Well, if you look at our revised guidance for 2023 and you look at that sort of midpoint, if you take that and add the Energy Harbor numbers to it, that I'd shared with you for '24-'25, you're getting to that $4.5 billion number.  And what we've seen in our business model, Julian, is because of where we've hedged and how we've been able to hedge, the realized kind of margin expectations are pretty flat from this kind of '23-'24-'25 timeframe. And the split between retail and gen might vary a little bit, but not materially. And I think that's 1 of the durable parts about our model is. And we saw it last year. And we're going to see it a little bit this year is that you may see a little bit of movement between retail and gen based on market conditions.  But retail is very solid in this kind of $1 billion range over that horizon. And I would expect the difference being the wholesale to get to that 3.8. And that's actually, I think one of the things that we've been excited to share is that the business is stable doesn't mean we're not working hard every day to hold on to it. I don't want to make it sound like just because we've hedged it. It's going to be realized. We have to deliver every single day on the business. But the outlook is actually above where we were in May of last year when we announced it and stable. And we'll be adding Energy Harbor to it. And so that line of sight with those hedge percentages we feel really good about where we are in that '24-'25 timeframe. Certainly '26 is more open.  And as I mentioned earlier, ERCOT is looking favorable relative to the last time we talked. But PJM is down on fixed price power at this point in 2016, but then we also have some PTC support for that for the Energy Harbor length. It doesn't look like ERCOT would be in that PTC range right now because of where the curves have moved up to.  But we've got kind of geographic flexibility segment, flexibility in -- or I should say, diversification and how I think 2026 will play out.
Julien Dumoulin-Smith : Got it. And if I can ask you to clarify your forward ERCOT expectations. I mean we've got a few different programs yet to be implemented, I suppose, is the procurement program with a certain level of subsidy baked in there coming, I suppose at some point, curious on your sense of timing on that for any real impact? And then related, we have other reserve programs yet to be fully implemented. I'd be curious on your initial assessment of some of these programs, like the dispatchable reserve strength?
Jim Burke : Sure. I'll start. I think by subsidy, I think you're referring maybe to the loan program and the grants that could be coming Julien?
Julien Dumoulin-Smith : Yeah.
Jim Burke : So yes, that -- obviously, the referendum is in November. The initial amount that was shared as part of the bill was $10 billion. The amount that has been provided for in the budget is $5 billion. And then the amount of the $5 billion that's going to be allocated to building new gas plants is unknown at this point. So let's say it's something in the $3 billion to $3.5 billion range potentially.  When we've looked at the math, the 3% interest on a 60% loan to value, it can move your returns a couple of points. So it is helpful, but it does not make up for potentially missing revenue in a backwardated market. And that gets to your other point, which is do these other programs, whether it's an ORDC bridge PCM being implemented, eCRS was just implemented. DRS will be implemented by the end of 2024, do those cumulatively add a recognition of reliability for the assets that Ken provided. And if so, can we get enough line of sight to build into that? And I think we don't know yet for us. I mean, we're still evaluating it. Steve, in terms of how the new ancillaries like eCRS and DRS, how you see that playing in Artic bridge be interested and share your thoughts on how you see the market adapting to these?
Steve Muscato : Sure. I think let's start with eCRS because it's the latest and we've actually seen how it's been implemented. And they're putting it in when I say the ERCOT is dispatching it only when critically needed. And so, I think it's serving well from a reliability perspective in terms of keeping ERCOT out of an EEA situation. But one of the other things I've seen is it hasn't necessarily impacted price formation too much. So I really think it gets into how ERCOT handles these reserve products. If they handle them in the way that they're designed, which is really when the grid is approaching tight conditions, and it's not necessarily used to -- for price formation, which is what we're seeing so far.  When I see ECRS dispatch, it's been on the very hot days, at the peak hours when needed. And it hasn't been very price suppressive. So we think it's working the way it's intended. And we'll have to see on these new reserves that they're putting in. But to the extent they use them in the same way as ECRS, I think we're in the best of both words where we're avoiding what I'll call emergency conditions on the grid, but we're still seeing very solid price formation when it does get tight.
Jim Burke : And I think it's too early to call DRS at this point. I mean it's still early stage to think about that one. Julian. That was one of the ones that some certain stakeholders were pushing as kind of the market solution. And so I believe the P&C and ERCOT have enough tools that they can work with to try to build some incentives for existing and new assets to be recognized and rewarded for their reliability, including a firming requirement for assets that come on to the grid after January 1, '27. And that they have to effectively be able to backstop the expected generation that they are committing to.  Those were all the right, I think, concepts. It's just early stage for us to know at this point how that's going to affect prices.
Julien Dumoulin-Smith : Right. Net-net, though, there does seem to be some kind of timing discrepancy between when these reserve programs come in. And any ultimate effect of any kind of procurement program here?
Jim Burke : I think so. The procurement program or the loan program and grant program alone, like I said, is marginally it's beneficial but it does not solve the broader problem that we entered the session trying to solve. And I think that's why we ended up with a menu of things. And frankly, it's a ton of work for the Public Utility Commission in ERCOT to work through this. And they're going to have their plate more than full. I mean, there's real-time co-optimization that has to fit in there before even PCM.  So there is a lot still to, I think, figure out. And we'll obviously be active and work with the stakeholders involved to try to bring clarity to it. But yes, on a calendar basis, it's multiyear at this point.
Julien Dumoulin-Smith : Excellent, guys. Good luck. Thank you so much. Talk to you soon. 
Operator: The next question comes from the line of Durgesh Chopra with Evercore ISI. Please go ahead.
Durgesh Chopra : Hey, good morning, Jim. Thanks for taking the questions. Hey, good morning, Jim. Just on the hedges, I think you answered part of my question in your prepared remarks. But the '22 to '25 hedges stayed at 86% and no change since the Q1 update call. Is that just you willing to stay more open given the market conditions? You mentioned the ERCOT curves -- or is it just more normal course of business and you're going to opportunistically hedge more? Just any thoughts there?
Jim Burke : Yes, it's a very good question, Durgesh. I would say there's a combination of factors. One is we've actually added some length given that the curves have moved up. So that's a good thing. There's more hours in the money for the fleet. So that means there's actually more to hedge. That's ultimately a good thing. And so when you look at the percentage, it's not a static amount of generation. So that's 1 element.  The second element is that's as of 6/30 that we were giving you these percentages. We've continued to hedge since 6/30 particularly in the 2025 timeframe. I don't feel that where we sit working with our team that we feel '26 is at a place where you have to go lock it all in because of the dynamics we talked about earlier. We think there's still upside in some of these markets. And we feel good about the visibility we've given for '24-'25, and we've got time to work on '26.  So the curves, as I mentioned, in '26 for PJM had come down ERCOT has gone up, but not anything that we need to go rush out and move materially on '26 at this stage.
Durgesh Chopra : How about just within that '23 to '25 period. I guess what the message here is that 86% should move higher as we get along here.
Jim Burke : It's already higher since 6/30 Durgesh. And so the '26 hasn't moved much, but we have moved up on '25 and we're nearly fully hedged obviously for '24. But these percentages do move because, again, being in the money means you have more hours to hedge because there's gross margin. So the hedge percentage could drop, but your earnings forecast could go up as a function of just simply looking at the opportunity set. So some of it is just the timing and the fact that these curves do move around.
Durgesh Chopra : Understood. Thanks. And then, Jim, one of the questions we consistently get from investors. Obviously, as you look at the stock, right, I mean, since I believe you initiated this buyback program, it was Q3-Q4 '21 the stock was in mid-teens. You broke 30 today. Just your updated thoughts on capital allocation, share buyback versus growth opportunities. How are you thinking about all of that here as the stock hit $30 
Jim Burke : Sure. Well, Daesh, it is good to see that the stock has moved up. We view this as a long-term strategy when we initiated it, and we still feel that way.  If you look at the stock price move, and this is a very imprecise science, but a good portion of the move, you could explain by virtue of the reduction in the share count and not necessarily seeing the enterprise value move that materially. Now that's still a good thing for the existing shareholders, and it's an opportunity for existing shareholders that are effectively increasing their percentage of ownership in Vistra.  I also believe that since the May timeframe of last year and where we are today, we have materially improved the earnings outlook of the company, which in theory, would result potentially in a multiple expansion. And we really haven't seen that much of a multiple expansion. And I'm not here to argue what the right multiple actually is. But I still feel there's recognition that I believe the market will continue to see as we put, I call it points on the board, delivering on our scorecard and our results. And at some point in time, when folks are comfortable that the earnings power is sustainable for the -- in the duration of a horizon beyond even the two to three years we talk about you might actually see some multiple expansion. We're not really there yet. And so our capital allocation plan for the foreseeable future, and I would put that in partly the high-class problem if we have to revisit it. But we feel very good about the capital allocation plan. And we might lean in a little more aggressively on the pace of the buybacks if we continue to overperform and see where we are with our -- obviously, cash needs to do that, fund Energy Harbor, which is our focus is to get this transaction closed in the fourth quarter. And then we're being disciplined on the Vistra Zero projects. And when we're reflecting that. And we want our shareholders to be confident that we do things, and we do look at the buyback as an alternate use of capital relative to the growth options. So the growth options need to be attractive. And so we'll pace the Vistra Zero projects to make sure that we're hitting the best ones and not chasing just the renewable projects. And I like our portfolio there. And we mentioned MOS 350 was an excellent project to bring online and an excellent job by the team.  So capital allocation plan is intact. And we're excited to, I'd say, hit the gas pedal on the capital allocation plan because we think it's the right mix for our shareholders as well as our debt holders.
Steve Muscato : I just -- I would just add, obviously, you're talking about, as you mentioned, $30. We do as you would expect, internally have our own valuation of what management and the team feels like the stock is worth. And I think, as Jim said, we're still comfortable buying and potentially leaning in at these prices. And so it gives you a feel for where we think fair value is. And we're not there yet.
Durgesh Chopra : Got it. Thank you, both. And congrats on the solid execution here on several quarters. Thanks. 
Jim Burke : Thanks, Durgesh. 
Operator: The next question comes from the line of David Arcaro with Morgan Stanley. Please go ahead.
David Arcaro : Thanks so much good morning. 
Jim Burke : Good morning, Dave. 
David Arcaro : Steve. I was wondering, I noticed a decline in the CapEx for 2023 for solar and storage development. Wondering what's driving that. And then similarly, just looking out to the development plan, some of the in-service dates moved out for several of the solar and storage development projects. Wondering if you could give some color around that dynamic.
Jim Burke : Yeah, absolutely. Those two are related, David. We have the Illinois coal to solar, we had the majority of that reduction that you see was some movement out of 2023 and -- and into '24-'25. We're still working the procurement cycle with working with vendors on EPC and obviously, the equipment. And we're still working that process in Illinois. So it's more just a deferral at this point for the coal to solar projects. And that was about two thirds of what was moving out.  The other is, as I mentioned on a couple of previous calls, on the ERCOT solar, we're starting to see the solar hours kind of cannibalize the solar hours. And so we'll move forward on solar projects with a PPA, but we're not going to move those in a merchant type model. And that really was the other part of what lowered the CapEx.  Now as I've mentioned as well, we own these projects, the pacing of these, a project may not be ripe now, could be ripe three years from now, depending on market conditions and depending on how some of these rules played out that we talked about on one of the earlier questions. But that is really a reduction at this point this year, that's a deferral on the coal to solar. But I would say in Texas Solar, but I would say next year, we're probably still in this kind of $600 million number. So we're not pushing number down this year to then take the next year number up fully. We're showing the discipline because the Texas piece, in particular is something that we want to keep a close eye on. So I think even for next year, you're going to see a development number for CapEx that's pretty close to this year.
David Arcaro : Got it. Got it. That's helpful. And I guess just maybe following on to that, how do you think of if there's or now maybe this is a little bit separately. I imagine if that growth CapEx number goes down, that was going to be largely financed with non0recourse project financing anyway. 
Steve Muscato : That's correct. 
Kris Moldovan: So we open up additional cash available for allocation at the overall Vistra entity?
Kris Moldovan : You have that right. As we look at this, the amount of price [Technical Difficulty].
Unidentified Analyst: My question is it just like a structural change that we see in retail margins? Again, if only because of the higher cost of financing? Or is it just we are coming off from a really high price, power price environment? And there's some pricing arbitrage between where we were and what's the current costs to serve these retail contracts?
Jim Burke : Yes, there's a lot in your question, Angie. And I'll break it down I think into two big market distinctions. The ERCOT market is more of a scarcity-driven market. And we have seen in just the last two months, the volatility pickup and the cost that a retailer needs to be prepared to pay to insure against that volatility has moved up. So you had the whole energy complex move up in '22, then it started to come off earlier this year. Now we're having the actual scarcity of basically supply demand tightening and ERCOT. And we're starting to see the costs for swing, which is part of that full requirements, particularly for residential, that's very costly. Large commercial and industrial does not have as much of a swing aspect to its load profile. So we are a very residential, heavy retail book. We have a great LCI business, but we are dominated from an earnings standpoint by our presence in residential. So we manage that swing in the pricing for our customer. Scott Hudson has to provide for the fact that he's wearing full requirements risk and serving this load.  And we have the assets to back it up. And I think that's what's distinctive about our model is that we've got the base load the intermediate and the peakers, so that Steve Muscato and the team can fulfill. And so if there's any issue with that we get it just right on the quantity hedged, which hedging is always imperfect. We've got an opportunity between the retail and the gen side to balance each other out. And ERCOT where we've really seen that volatility.  In the other market, it's been more gas-driven. And we've seen a general downward slope in the gas curves and these other markets and retailers generally can expand margin in a declining gas and power cost environment. And they might see some compression in margins and are rising. And I think, some of the tailwind in 2023 in signing deals is based on the fact that if you signed deals in 2022, that were multiyear deals with large commercial, you might have had negative margins in the first year and 2022, because power costs were so high because you average the cost for the customer. And then you would have seen positive margins in the out years. That's normalized now.  You can now sign deals and see positive margins in '23-'24-'25. So that's part of the tailwind. But this is a cyclical business. And I think you've got to run it for the long-term. And you've got to set customer expectations around being predictable and not move them around too much, as I mentioned earlier.  So those are the two dynamics I see in the market. Scott, is there anything you'd like to add to that?
Scott Hudson : No, I think that's right, Jim. I think the most dramatic change that we've seen year-over-year is residential customers in the Midwest and Northeast, where it's a cyclic market. We just have an opportunity to bring on more customers, particularly digitally and online, because of where the price to compare is. At we still -- 
Jim Burke : Price to compare is still much higher. 
Scott Hudson : Much higher. 
Jim Burke : And our power costs are lower. But I think, there was such an extreme last year that that'll stabilize overtime, but you really do have to think about these as very market specific. And then customer product and brand-specific segments.  Thank you. Thank you, Scott.
Unidentified Analyst: Okay, and just one other question. So as we keep going back to the rising cost of financing, but also strengthening of your stock, even though there might be little to no margin expansion yet. If you were I mean -- if you were to do another M&A transaction, just talk to me -- talk me through the financing of any potential deal. Again given the rising cost of financing, you are seemingly that dedicated to share buybacks. So, again, I'm just debating if you are a sufficient scale have pro forma Energy Harbor and if there are additional economies of scale to be had both from an operational perspective and a financing perspective that you would benefit from basically adding one more generation portfolio.
Jim Burke : So, Angie thank you. Always looking ahead. We are clearly focused on Energy Harbor. And as Kris mentioned earlier, we've got some return of cash this year. So it can help change our what our financing needs are to close the Energy Harbor transaction.  We don't comment on any potential M&A, but I think we demonstrated that we keep an eye out and we have the right conversations to be aware of the opportunity set. And if there is an attractive one at the right price, we'd be in a position to move. But I've also said and I said it on our Vistra standalone case. We liked the Vistra standalone the case at the time we announced Energy Harbor. So we had to get comfortable to Energy Harbor would truly be accretive in a long-term good fit for our company. And we made that determination. And we're very excited about it. We would use a similar lens on anything else. And we still think the capital allocation plan, which we kept intact, through Energy Harbor. I think we still need to consider that in anything that we're doing that our shareholders have come to expect that capital allocation plan that will execute on it, increase any comments on the financing markets, and how we think about it. But that's sort of another step down the road, even from this Energy Harbor transaction.
Kris Moldovan: Yeah, Jim, I would just add As we have talked about, and as we have increased our forecasts for '24-'25 and as we see opportunities in 2026 one thing Angie, to note, and we'll have more to say on this after the Energy Harbor closing. But we still have capital to allocate even above and beyond the billion dollar -- the minimum billion dollars a year of share repurchases that we've talked about and the $300 million of dividends and getting our debt where we needed to get it to go in our renewables growth.  So even beyond that, we have a significant amount of cash. And so we'll continue to make decisions. And as I said, we'll have more to say on it coming up. But we'll continue to look at opportunities and that could be growth. There could be additional share repurchases. So, that would damp in any financing that we have. But we feel good about our ability to raise financing. We also have -- we have created a currency with the Vistra Vision equity. We're not looking to use more of that, but there could be a situation where that is available to the extent that it makes sense.  So we have a lot of options. And we'll continue to make sure that we are flexible as we go forward.
Unidentified Analyst: Thank you. Thanks. 
Jim Burke : Thank you, Angie.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Jim Burke, President and CEO for any closing remarks.
Jim Burke : Thank you again for joining us on this call and sorry if the call dropped and you had to get back on. But we really appreciate your interest in us and following how we're progressing. And we look forward to talking to you hopefully, if we see on the road before the next quarter. And wish you a great summer. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.